: Kaiser Aluminum Corp. (NASDAQ:KALU) Q1 2008 Earnings Call  May 8, 2008 1:00 pm ET
Operator: Good day everyone and welcome to today’s Kaiser Aluminum first quarter 2008 earnings results conference call. (Operator instructions) At this time for opening remarks and introductions, I’d like to turn the call over to Mr. Geoff Mordock, please go ahead sir.
Geoff Mordock: Good afternoon everyone and welcome to Kaiser Aluminum’s first quarter 2008 earnings conference call. If you’ve not seen a copy of today’s earnings release please visit the investor relations page on our KaiserAluminum.com website. We’ve also posted a PDF version of the slides that accompany this call. Joining me today are Chairman, President and Chief Executive Officer, Jack Hockema, Senior Vice President and Chief Financial Officer, Dan Rinkenberger and Chief Accounting Officer, Lynton Rowsell. Before we begin I’d like to remind the audience that the information contained in this presentation includes statements based on managements’ current expectations, estimates and projections that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the company’s anticipated financial and operating performance, relate to future events and expectations and involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the company’s earnings release for the quarter ended March 31, 2008 and reports filed with the Securities and Exchange Commission. All information in this presentation is as of the date of the presentation. The company undertakes no duty to update any forward-looking statements to conform the statement to actual results or changes in the company’s expectations. Non-run rate items to us are items that while they may recur from period to period are particularly material to results, impact costs as a result of external market factors and may not recur in future periods at the same level of underlying performance were to occur. These are certainly part of our business and operating environment but are worthy of being highlighted for the benefit of the users of our financial statements. Managements’ intent is to neutralize the fabricated product segment from fluctuations in underlying metal prices. We characterize metal profits and LIFO charges as non-run rate items that eventually offset to a great extent over the course of the full year. Further, presentations including such terms as net income or operating income before non-run rate are not intended to be and should not be relied on in lieu of the comparable caption under generally accepted accounting principles or GAAP to which it is reconciled. Such presentations are solely intended to provide greater clarity of the impact of certain material items on the GAAP measure and are not intended to imply such items should be excluded. I would now like to turn the meeting over to Jack Hockema who will provide overall commentary on Kaiser Aluminum. At the conclusion of the company’s presentation we will allow for questions and answers. Jack.
Jack Hockema: Thanks Geoff. As Geoff mentioned you may follow our remarks by viewing the slide presentation on our website at KaiserAluminum.com. Slide 5 provides an overview of today’s session. Our $244 million organic growth program continues on schedule and we have financial strength to fund additional growth initiatives. First quarter financial results reflected strong underlying performance and substantial non-run rate benefit. Turning to slide 6 and our $244 million organic growth program, the Trentwood expansion remains on schedule. Phases 1 and 2 are complete as shown in the photo at the right which displays the exit end of the three new horizontal heat treat furnaces and the new stretcher that facilitates our capability to supply thicker plate. Installation of phase 3 begins next month and involves taking a heat treat furnace out of production for several weeks to convert from batch processing to continuous processing. Our state of the art rod and bar operation will be located in Kalamazoo, Michigan and is scheduled to be operational by the end of next year. Slide 7 provides an overview of the first quarter results which includes significant non-run rate benefit from mark to market gains in the primary aluminum segment. Fabricated products operating income was in line with prior year, shipments were up 8% on improved volume from aerospace defense and general engineering applications but the favorable impact form improved volume was offset by unfavorable energy, currency, planned major maintenance expense and by increased depreciation linked to recent investments. Dan will provide additional color and the slides that follow.
Dan Rinkenberger: Thanks Jack. Turning to slide 9, our net sales on a consolidated basis for the first quarter 2008 totaled $399 million which was 2% higher than the first quarter 2007. Fabricated product shipments were 8% higher than the first quarter of 07 on strong shipments of aerospace, defense and general engineering products. Record heat treat plate shipments were up slightly over the prior year quarter and up 4% from the average quarter of 2007 as we began to realize the benefit from new capacity provided by the completion of phase 2 of the Trentwood expansion. Plate production was impacted by unscheduled downtime on the continuous heat treat furnace used for light gauge plate production as well as the mix more heavily weighted towards very light gauge plate. Net income is highlighted on slide 10. Net income of $39 million for the first quarter of 2008 reflected continued strong results in both operating segments as well as approximately $30 million of pretax non-run rate items primarily related to mark to market gains on metal hedging positions. Earnings per share was $1.92 fully diluted of which approximately $0.84 per share was attributable to these non-run rate items. Net income included in effective tax rate of 43%. Operating income results are highlighted on slide 11. Operating income of $68 million in the first quarter of 2008 includes the $30 million of non-run rate items that I previously mentioned. In the first quarter of 2008, operating income before non-run rate items was slightly higher than the prior year reflecting continued strong results in both fabricated products and primary aluminum. Viewing our fabricated products segment on slide 12, our reported segment operating income was $40 million in the first quarter of 2008, essentially flat compared to the prior year quarter. The net favorable operating income impact of an 8% increase in shipments as well as value added pricing mix was approximately $6 million. This was offset by higher energy costs, unfavorable Canadian currency exchange rate, higher planned major maintenance expense and increased depreciation expense. Non-run rate items were also approximately $1 million worse than the prior year quarter. Our reported primary aluminum operating income as presented on slide 13 was $41 million in the first quarter of 2008. This included approximately $31 million of non-run rate items and these were primarily unrealized gains on metal hedging positions. Operating income before non-run rate items of $10 million for the quarter improved over the prior year due to favorable realized aluminum prices and improved alumina costs, partially offset by the effect of unfavorable currency exchange rates. On slide 14 we show the corporate expenses that are not allocated to the operating segments. Corporate expenses were essentially flat as compared to the first quarter of 2007. And on slide 15 we demonstrate that we have financial strength and flexibility to finance strategic growth, both organic and via acquisitions. And next I’ll ask Jack to provide some concluding remarks.
Jack Hockema: Thanks Dan. Slide 17 and 18 address the near term outlook for the fabricated products business. Demand for aerospace plate is robust but the ramp up in demand for commercial air frame applications is slower than anticipated as a consequence of the well publicized delays in launch of the Airbus A380 and the Boeing 787. However, strong demand for armor plate is expected to continue to cushion that impact. Weakness in ground transportation and general industrial markets continues as does restocking by service centers. The chart at the bottom of page 17 illustrates the impact of the service center stocking cycle which shifted from destocking of aluminum rod and bar during the first eight months of last year to restocking over the past seven months. Slide 18 translates the market environment to Kaiser’s situation in fabricated product. We expect that our very rich price and mix for heat treat plate will continue through the remainder of 2008. Installation of phase 3 of the Trentwood expansion begins this summer and we expect to be fully operational by the end of the year. Our current outlook is for heat treat plate shipments for the year to be up approximately 15% compared to prior year. General engineering rod and bar shipments have been bolstered by service center restocking and we expect the strong shipments trend to continue. Planned equipment upgrades at our Los Angeles, Chandler, Sherman and Tulsa plans will cause some production interruptions but we are prepared to support strong demand from customers for our products. Although North America automotive production is expected to decline in 2008 compared to 2007, the impact for Kaiser will be softened by new programs and by export shipments to Europe facilitated by Kaiser’s world class capability and the favorable exchange rate. Slide 19 recaps today’s report, business conditions remain positive for most of our markets and applications, implementation continues for our organic growth programs with phase 3 installation at Trentwood along with several other improvement projects scheduled this year. Our strong financial condition provides us with the capability to fund additional investments and we continued to explore new opportunities for profitable growth. We will now accept questions.
Operator: (Operator instructions) Your first question comes from Timna Tanners – UBS.
Timna Tanners – UBS: What I’m kind of confused is on the weighted average selling price of your fabricated products business and there was some mention in the press release of a weaker mix and you just talked about strength of mix continuing. So if you could talk a little bit about where there might have been some weakness or how to think about the pricing on the fabricated products side going forward.
Jack Hockema: I’m not sure what you’re talking about Timna unless you’re just talking about the net realized price and I think in Dan’s remarks he attributed the bulk of that to lower contained metal prices for the quarter year over year.
Dan Rinkenberger: And we did say something about, I guess you’d call it a weaker mix but it was really we did have some strength in lower value added priced products during the course of the quarter which caused some of the weighted average pricing to also be lower than otherwise might have been expected. I think Jack’s right when we talks about the strong mix we anticipate, especially in the heat treat plate.
Timna Tanners – UBS: What does that mean, lower value added products? Is that the armored plate that you see offsetting some of the aerospace demand or what is that?
Dan Rinkenberger: No Timna we’re talking more about some of our extruded products. So especially on the restocking that Jack mentioned during the quarter and the last seven months, we had a nice increase as we were hoping and expecting on the value added, on the rod and bar products that are in the soft alloy plants.
Timna Tanners – UBS: It’s hard to understand the decline in the weighted average selling price, unless there was something, because I think that you’ve been talking about how the non-heat treated plate side has been fairly steady and with the restocking, it sounds like maybe the prices were just a little weaker still even though the volumes were up, is that fair?
Jack Hockema: The absolute selling price on those products tends to be lower than our plate products. And so when we increase the mix in that part of the product mix it has an effect on our price too.
Timna Tanners – UBS: Okay but you would have also been increasing the amount sold into heat treated plate just because of your capacity increase year over year as well, right?
Jack Hockema: Yes and we discussed that about it being slightly over the first quarter of 2007 and 4% over the average of last year.
Timna Tanners – UBS: Can you give us a little bit more granularity on the outages that you’re expecting for the heat treated plate side please, with timing?
Jack Hockema: We’re scheduled to take down the heat treat number to, I believe its early June. And it will be down for approximately four months as we do the installation of two new zones and convert it from a batch furnace to a continuous furnace.
Timna Tanners – UBS: You talked about having a little bit of extra inventory at the investor day to prepare for that, do you think the impact then would be more third quarter?
Jack Hockema: Yes we expect the second quarter shipments will be higher and third quarter shipments will be the primary quarter impacted by those shipments. But it’s really difficult to tell quarter to quarter, we had inventory flows and we’re meeting customer needs here.
Timna Tanners – UBS: You did talk about the inventory restocking but can you talk about underlying demand going forward then, you’re expecting some recovery, are you expecting any recovery there outside of the auto side? Are you expecting kind of stability going forward?
Jack Hockema: We really see things pretty much the same as we have for the past two or three quarters. From a heat treat plate standpoint we’re still confident that we’re going to sell every pound that we can produce this year. So we’re really capacity constrained rather than market constrained in heat treat plate. Our rod and bar shipments are very strong as we’ve shifted from destocking to restocking and the demand from aerospace and defense for our products other than plate continue to be very strong. So really the only area of weakness that we’ve seen for the past six months or so is the continuing weakness in ground transportation, primarily truck and trailer and then the deteriorating builds in terms of North American automotive. But as we’ve said, we’re pretty much offsetting reduced builds in automotive with new programs that we’ve picked up and with some export opportunities that we have. So the major impact is basically ground transportation continues to be soft as it has been for more than a year now.
Operator: Your next question comes from Seaver Wang – Utendahl Capital Partners.
Seaver Wang – Utendahl Capital Partners: What is the year over year increase in capacity for heat treat that you expect for this year?
Dan Rinkenberger: We haven’t quoted that obviously over the last 18 months when we’ve been asked about that in terms of pounds. But we do have a chart, I think it’s even at the back of our presentation but if not it’s on our website that shows as a percentage increase over our 2005 baseline. And if I recall the numbers, 2007 was 1.6 times the 2005 baseline. And 2008 is anticipated to be 1.9 times the 2005 baseline.
Seaver Wang – Utendahl Capital Partners: Because of the delays of the A380 that was cited, would you guys anticipate somewhat of an acceleration further on in the year for the heat treat products?
Jack Hockema: As I commented answering Timna’s questions, we’re not market constrained this year, we’re production constrained. And the outages we had in the unplanned outages and the mix we had in light gauge plate in the first quarter actually took away some production. So we are now saying that the full year production we expect to be up roughly 15%, that 1.9 to 1.6 that Dan gave was approximately 8%. So we’ve changed our outlook for the year, reduced it in terms of heat treat plate shipments by roughly 3% compared to the year over year as a consequence of the light gauge plate in the first quarter that we lost. But what’s happening here in terms of the airframe delays has not impacted us, it’s been more than offset by what’s happening in armor plates. So demand continues to be very strong and we expect we’re going to be able to ship every pound that we can produce this year.
Operator: Your next question comes from Daniel [Small] – Platinum Partners.
Daniel [Small] – Platinum Partners: Can you talk about how much of an impact the non-planned outages had in terms of shipments or in terms of revenue?
Jack Hockema: We had the full capacity online coming into the first quarter. So if you go back to the numbers that Dan stated, the 1.9 over the 1.6, that full capacity was available. We now have said rather than being up approximately 18% year over year, we’ll be up 15% year over year and Dan commented in his remarks that first quarter production or first quarter shipments were up 4% over the run rate of last year. So you can take that gap between 4% and 18% and do that math and that’s roughly what that lost production was in the first quarter. And basically all of that was in our light gauge operations, it had nothing to do with the new installation, it was in our continuous furnace and the mix going through our vertical heat treat furnaces, our traditional facilities we had before the expansion.
Operator: Your next question comes from Tim Hayes – Davenport & Co.
Tim Hayes – Davenport & Co.: Back on this unplanned outage, can you quantify what dollar hit you may have experienced during the quarter?
Jack Hockema: We haven’t quantified that but if you go do the math we were pretty transparent last year in what the value of incremental volume was on heat treat plate. So I think we’ve put enough numbers out there that you can do the math and come up with your own pretty reasonable estimate of what that impact was. It was a few million dollars.
Tim Hayes – Davenport & Co.: What about the year over year increase in energy costs, can you also try to quantify that too for us?
Jack Hockema: Yes each one of those four items that we talked about as in the range of $1-$2 million, the currency, the energy, the major maintenance and the depreciation. And the energy was closer to $2 million.
Tim Hayes – Davenport & Co.: Back to the base capacity increases over the 05 base, so 08 is now 1.9 X, it was 2.0 X?
Jack Hockema: Yes and we reduced that to 1.9 either fourth quarter or I think we may have already done that third quarter of last year because of what we saw with the production interruptions related to this phase 3 expansion.
Tim Hayes – Davenport & Co.: What’s 09 now, is that still 2.2 X?
Jack Hockema: Yes the 2.2 is still good.
Tim Hayes – Davenport & Co.: Then on the primary side, I was surprised that realizations were as high as they were. You had realizations of $1.35 a pound, that was down only about $0.04 I think from what you reported a year ago. Given what aluminum prices had done, I was looking for a bigger drop. Did something unusual go on there that you were able to maintain your realizations despite the decrease in aluminum prices that we saw?
Dan Rinkenberger: Actually both quarters that we’re referencing were actually relatively strong quarters and it’s really just an average price that we’re reflecting there. I guess there can be a tad of a lag on some of the shipments. And also keep in mind that when we talk about the volume and pricing impact that happened within fabricated products, we talk about our realized prices too which could affect the hedge levels at which we were realizing on our internal and external hedges. All is laid out in the 10-Q pretty thoroughly I think.
Tim Hayes – Davenport & Co.: The realizations for primary is exclusive of hedging impacts, correct?
Dan Rinkenberger: When you’re talking about the price per pound, that’s the as sold of actual products to third parties. When we talk about the bridge of the impact of what happened within primary as operations, our primary unit includes the operations of Anglesey but also our hedging activity for metal.
Tim Hayes – Davenport & Co.: But the realization of $1.35 a pound.
Dan Rinkenberger: $1.35 does not have any impact of hedging.
Tim Hayes – Davenport & Co.: And in terms of your sales, do you sell most of the stuff on a one month lag out of primary?
Dan Rinkenberger: I think it’s one month and I can’t remember exactly if there’s any other, I think it’s one month lag. I’d have to confirm that for you.
Tim Hayes – Davenport & Co.: Given Airbus’ potential I don’t think they’ve actually recognized an official delay but we’ve heard in the last week that they’re likely to cut production for the A380. Is it fair enough that for that model that you would be the contract that you have for Airbus would be now down to the minimum level in that contract? Or would it still be above the minimum?
Jack Hockema: I’m not going to comment on individual customer contracts. I’ll just say again that for this year, we’re very confident that we’re going to be production constrained rather than market constrained. And we remain very optimistic about our total outlook for 2009.
Tim Hayes – Davenport & Co.: You think you’ll be production constrained in 09 as well?
Jack Hockema: I don’t think so because if you’ll recall when we announced phase 3, we indicated that our customer commitments, quote, in phase 3 did not consume the entire capacity. So we’ll be depending on spot business and I haven’t looked at our updated forecast, I’m going to see one here in a couple of weeks in terms of what our sales forecast is for 09 versus capacity. But we expect we’ll have a good strong year in 2009.
Operator: Your final question is from Timna Tanners – UBS.
Timna Tanners – UBS: I just wanted to ask on the SG&A line, I know you’ve talked in the past about being able to lower those numbers by about $2-$4 million per year as your transition costs diminish and professional fees go away, can you give us an update on that of what might have happened in the first quarter?
Jack Hockema: I don’t think the transition is complete. We’re on our way, on our path and I think that the direction that we’ve talked about before is still valid, it’s just we’re still in the mode of paying some of the fees that might have been higher during our SOX readiness process and as we move forward I think we’ll get there.
Timna Tanners – UBS: Can you give us a little more update on the timing maybe?
Jack Hockema: I don’t know that I want to be held accountable to a particular quarter. But I think over the course of the next year we could probably get there.
Operator: And at this time there are no further questions in the queue, I would like to turn the conference back over to Mr. Mordock for any additional or closing remarks.
Geoff Mordock: Thank you everyone for joining with us today. A replay of this conference call will be available on the investor relations page at the KaiserAluminum.com website. Have a good afternoon.